Operator: Good morning, and welcome to the United Rentals First Quarter 2013 Investor Conference Call. Please be advised that this call is being recorded. Before we begin, note that the company's press release, comments made on today's call and responses to your questions contain forward-looking statements. The company's business and operations are subject to a variety of risks and uncertainties, many of which are beyond its control, and consequently, actual results may differ materially from those projected. A summary of these uncertainties is indicated in the Safe Harbor statement contained in the release. For a more complete description of these and other possible risks, please refer to the company's annual report on Form 10-K for the year-end December 31, 2012, as well as to subsequent filings with the SEC. You can access these filings on the company's website at www.ur.com. Please note that United Rentals has no obligation and makes no commitment to update or publicly release any revisions to forward-looking statements in order to reflect new information or subsequent events, circumstances or changes in expectations. You should also note that the company's earnings release, investor presentation and today's call include references to free cash flow, adjusted EPS, EBITDA and adjusted EBITDA, each of which is a non-GAAP term. Speaking today for United Rentals is Michael Kneeland, Chief Executive Officer; William Plummer, Chief Financial Officer; and Matt Flannery, Executive Vice President and Chief Operating Officer. I will now turn the call over to Mr. Michael Kneeland. Mr. Kneeland, you may begin.
Michael J. Kneeland: Thanks, operator. And good morning, everyone, and welcome. As the operator said, with me today is Bill Plummer, our Chief Financial Officer; Matt Flannery, our Chief Operating Officer; and other members of our senior management team. I'll start off with some of the numbers you saw last night, and then I'll talk about our operating environment, including the status of the recovery. And then after that, Bill will discuss the quarter in more detail, and then we'll go over to Q&A. Our first quarter results made a strong statement about commitment to profitable growth. In our slowest seasonal quarter, we generated $451 million of adjusted EBITDA at a 41% margin. That's 420 basis points higher than last year, and it's also a first quarter record for us. And we intend to deliver over $2.2 billion of adjusted EBITDA on approximately $5 billion of revenue this year. And we hit our mark with total revenue in the quarter despite a harsh winter in the Northeast and Central U.S. Three key metrics met or exceeded our expectations in the quarter. Our rates, time utilization and used equipment margin were all up year-over-year. Now the combination of these metrics tells us that our customers are truly in a recovery, and our CORE business overall is very strong. An important part of our strategy is to submit our relationships with key accounts, and we did exactly that in the quarter, with our key account rental revenue up more than 11% year-over-year. Now on the cost side, we continue to make progress with synergies from the merger. And as you saw last night, we realized another $53 million of cost savings in the quarter, and our target of $230 million to $250 million remains realistic as a fully developed run rate. Now before I continue, I should remind everyone that our year-over-year comparisons are still on a pro forma basis. That is we're measuring the quarter against the combined results of RSC and United Rentals in the first quarter of 2012. And we closed the RSC transaction at the end April last year, so we have one more quarter of pro forma comparisons to go. So let's turn to the external environment. I'm pleased to say that we feel just as bullish about the recovery as we did in our last call. The national indicators for construction and industrial are still positive. And more important, they're trending upward. In fact, I was in Dallas a few weeks ago to meet with our regional leaders, and it was brought up several times about the environment. Their confidence level is high, and there's far less uncertainty than a year ago. In early 2012, we were still debating whether the recovery was real. Now it's more a question of pace. And there's also a layer of secular penetration that I've spoken about in the past. Much of the penetration is coming from customers who are very savvy about fleet and are now renting some of the fleet they used to own, so they know about the equipment applications. Now these customers are very focused on reducing costs and improving and increasing their productivity, and our value proposition provides that. Currently, we have $7.2 billion of rental fleet based on original equipment cost, and that includes $166 million of net rental CapEx we spent through March. Last year, if you recall, we front-loaded our fleet and spent about 36% of our annual CapEx in the first quarter. We did that to take advantage of an attractive Tier 3 pricing that was available to us. Now this year, we spent about 19% of our CapEx in the first quarter, which reflects a return to more normalized levels. And we plan to spend over $600 million on fleet in the second quarter, which will put us about 50% of CapEx deployed by the end of June. And we could spend more in the quarter if we feel that it's warranted. But in any case, we expect our full year gross investment in fleet to be close to our outlook, which is about $1.5 billion. Now as we add fleet, we're also taking the necessary steps to get that fleet into the hands of our customers, and I'm talking about sales presence. Now last year, when we merged the 2 companies, we went to a complete review of our sales training, compensation, territory structure and sales management. And it's a big part of our integration. And we got everybody on the same page. Now we have a cohesive sales environment, and we're going to add more feet on the street as part of our plan. We currently have about 1,200 outside sales reps in the field, and we expect to increase that number by at least 10% over the next 12 months. Our salespeople are the frontline of our strategy. Their primary job is to develop relationships with our customers. Which is the bedrock of our growth, and has our full attention. They're also an important part of our plan to reduce volatility in our business mix. This year, we see an additional opportunity to revitalize a group, what we call unassigned accounts. Unassigned accounts are typically local commercial contractors, and they currently represent about 38% of our base. Our revenue on the unassigned accounts grew in the first quarter year-over-year, but it could have been more robust. Now there are still some lingering effects of the integration and the branch consolidation, but our reps are increasing their touches with unassigned accounts to tap more strongly into this space. So as you can see, there's a lot going on, and our branch teams are energized by the activities that surrounds them. Our employees know that we're selling the best value proposition in the industry, leading with safety first. We've given them the tools and technology to hone in on market opportunities and capture share. Every one of our regions is driving hard to be a top performer this year. Now to give you a snapshot of our regions in the first quarter, 10 of our 14 regions had year-over-year growth in rental revenue, and the headwinds from the remaining 4 regions were mostly related to weather. And if you recall, we almost had no winter last year, so some of the projects got off to a slower start this year. But it doesn't qualify as a market trend. Western Canada, on the other hand, was booming, up more than 19% due to the energy sector. And our specialty rentals segment generated increase of more than 28% year-over-year. Now within specialty, power HVAC was up more than 41%, including same-store increase of 31%. And we plan to continue to expand our specialty footprint this year and cross-sell these services even more vigorously with our customers. Matt will be here on the call, and he'll be available during Q&A to answer any questions you may have about our field operations and the integration. So in summary, there are many positive undercurrents for our company, both internally and externally. And we're going to grow our business at every level, from our top line to our shareholder value. And that growth is going to be robust. In fact, we think it will outpace the market, which is a forecast to increase about 6% this year, with close to 10% growth in 2014. Now I want to emphasize that we're being very targeted about opportunities in this environment. We know that some transactions will be more profitable than others as we enter -- as our end markets begin to recover, and we will not be chasing every deal. We're not interested in escalating our revenues if it hurts our margins in the process. We want to serve our customers, and we want to do it in a way that drives exceptional returns. And then we want to retain those profitable customers and expand our base. That's what our strategy is designed to do. And clearly, we're succeeding. So with that, I'll turn the call over to Bill for the financial results, and then we'll take your questions. Over to you, Bill.
William B. Plummer: Thanks, Mike, and good morning to everyone. As usual, I'll provide a little bit more detail on the quarter. But maybe I'll do it a little differently this quarter than in many quarters past. We've gotten some very specific questions in reaction to our release last night, and I thought I'd take the time to walk through a couple of items that I think will help people understand the quarter better and help flesh out the discussions. Along the way, I'll try to throw in some of the key performance measures for the quarter. But if I miss anything, please do raise it in Q&A. And I think it'd be useful to structure the discussion around a bridge of EBITDA from last year to this year. Last year, we delivered $392 million of pro forma adjusted EBITDA, and that goes to the $451 million that we delivered in the first quarter of this year. And again, everything in this discussion, except where I might note it, will be a pro forma discussion. So how did we go from $392 million to $451 million? We told you about our synergy results in the quarter. We realized $53 million of synergies in the quarter, so that has a direct add-on to last year's adjusted EBITDA. If you dive a little deeper into our revenue performance in the quarter, we told you that we delivered 5.4% rental rate increases year-over-year. That 5.4%, if you apply it to the prior year's owned equipment rental revenue and you have the use OER rather than the total rental revenue in order to get the right measure, right, the rental rate only applies to the owned equipment revenue. It doesn't apply to re-rent. It doesn't apply to the ancillary items within rental revenue. And that's one of the reasons why we call those pieces out in our press release this year because it's a significant item in the quarter. So if you applied 5.4% rental rate to last year's OER, which was about 86% of last year's total rental revenue, you get about $40 million of rate impact on a year-over-year basis. And since that's rate, it's almost 100% flow-through. So call it $40 million of increased EBITDA from rental rate alone. On volume, we called volume OEC-on-Rent growth year-over-year at 5.8% in the quarter. That's what we realized this year. So if you used that 5.8% and apply it to the prior year OER, you get a volume impact at revenue, which you then need to reduce the EBITDA by using a flow-through. We used about 70% flow-through on the volume impact. And if you use 5.8% volume, 70% flow-through, you get an EBITDA impact from volume of about $30 million. So that's an add-on to last year. We also had a better used equipment sale gross profit result this year of about $5 million better than last year, so that's an add-on. So those are all the add-ons that take you from last year to this year, and that increases last year's EBITDA by $128 million. So let me walk now through the deductions that get you down to the $451 million that we reported this year. Within the quarter this year compared to last year, we had one less working day in 2012 -- excuse me, in the 2013 quarter. And one of the working days that we had in 2013 was Good Friday. Good Friday and Easter fell into the second quarter last year. They were in the first quarter this year. So when you look at that impact, our revenue per working day is in the area of $10 million per working day, and the flow-through on those working days is pretty high. So the net effect of having one less working day, plus one of the working days being a semi-holiday, was about $12 million at EBITDA in the year-over-year comparison. So there's a $12 million deduct. The other lines of business, including our contractor supplies business and our service and other line, was down year-over-year in the quarter. That reflected the strategy we've been focusing more on rental and, therefore, allowing the revenue items to find their own level while increasing the margins in those lines of business. But it also reflected the fact that we sold wind [ph] systems during the course of last year, and the year-over-year impact there was a decline in the gross profit. So when you look at those other lines of business, and I lump in along with those other lines of business, the year-over-year change in non-rental equipment sales, the sales of delivery trucks, trailers, things like that, those all add up to a deduct of somewhere in the $10 million to -- roughly, $10 million area, let's call it. Period mix. You've heard us talk about this a lot. Our mix on a day, week and month basis has been shifting toward monthly. That's been pretty consistent over the last several years. In the first quarter, our period mix shifted to 77.1% monthly. That's 170 basis points greater monthly share this year compared to last year. We have a methodology internally that we use to estimate that period mix impact, and that gives us about a $10 million EBITDA impact year-over-year in the first quarter. So there's a $10 million deduct there. And then I mentioned previously ancillary revenues and re-rent revenues. Those are part of our rental revenue, our total rental revenues. They were down year-over-year. Both were, we believe, responding to our strategy with re-rents, in particular. Since the merger, we've been very focused on displacing re-rented items with items that are in our own portfolio, and you saw the impact there. Our re-rent in the quarter was down about $22.6 million -- excuse me, 22.6% compared to last year, the dollar amounts appreciably smaller. But that represents a drag as does the ancillary items, items like pickup and delivery charges, our loss damage waiver program and so on. Those were down a combined 2.3% in the quarter. So when you look at the EBITDA impact of those revenue declines, we get about a $5 million deduct for ancillary and re-rent. So those are sort of the normal routine things that represent a deduct in the year-over-year EBITDA. In addition, there were several items that we would categorize as one-timers in the quarter. So for example, we were implementing a focus on reducing our OEC not available across the business in the first quarter. We had some success there. We were able to reduce that OEC not available to the lowest level that we've seen in a couple of years at one point during the quarter. We will continue that focus. But as you do it, it incurs incremental expense in labor, parts purchases and other supplies associated with getting the equipment up and ready for the busy season. That incremental effort cost us, we estimate, about $5 million in the quarter. Again, it's a one-timer. It'll certainly be -- there'll certainly be some over effect of that effort in the second quarter, but it will be reduced versus what we experienced in the first quarter. During the quarter, we also were very heavily investing in implementing a lean management technique called 5S, many of you have heard us talk about it, across our branches. That effort requires us to rearrange our maintenance shops and do things like repainting the floors, repainting lines, adding new signage, adding new tools and racking and so on. We estimate that, that effort in the first quarter cost us an incremental $5 million as well in overall costs. And then finally, we had what is a more normal effect but one that we felt we should call out, the impact of our merit increases on a year-over-year basis, which was again about $5 million. 5s are wild here today. But those 3 impacts we wanted to call out because they represent significant incremental costs in the first quarter. If you deduct those 5 by 3, you get another $15 reduction -- $15 million reduction, and that leaves about $15 million of the year-over-year EBITDA change unexplained. We attribute that remaining $15 million or so to weather and other unexplainable items. On the weather front, you've heard us talk about it. We had a real winter this year, and that compares to last year, where winter was very mild across most of the continent. That weather impact hits us both in the top line, reduces your productivity and your ability to get the fleet ready and out on rent, reduces the demand from projects that are slow. But it also hits you on the cost lines as it costs you more to just prepare your equipment for delivery. And so we estimate that impact, along with -- and there are host of other puts and takes that are all aggregate as being somewhere around $15 million or so. So that gets you from last year's EBITDA to the $451 million that we reported this year. Hopefully, that's helpful and addresses questions that we've had. But if not, then please do ask further questions during Q&A. One other discussion that we have with folks following the report last night revolved around our flow-through in the quarter. Flow-through in total for the quarter was $164 million -- excuse me, 164% when you include the impact of the synergies. But when you exclude the synergies, it drops appreciably. And the question was your flow-through x synergies in prior quarters have been much higher. You told us that you're going to get to the 60% to 70% range flow-through x synergies for the full year. What's going on? How are you going to get there? Well, I called out of those specific items in the quarter, the 3 $5 million hits for a 5S, OEC not available and our merit increases. Those were direct drags to our flow-through when you exclude the impact of the synergies this year. So when you add that $15 million -- you add back that $15 million drag to the year-over-year revenue change x synergies, you get a flow-through that's right at 58%. And for the first quarter, 58% x synergies is in the zone where we feel very comfortable that we'll be able to deliver the flow-through x synergies for the full year in that normal range of 60% to 70%. So hopefully, that addresses that question that some of you may have had about our flow-through performance in the quarter. Before I wrap-up, I just want to spend a couple of minutes updating our outlook. It'll be very quick because we haven't changed any component of our outlook. We still expect the full year rental rate increase to come in at 4.5%, and we still are very focused on delivering the time utilization and revenue and EBITDA guidance that we gave earlier in the year. So revenue will be between $4.9 billion and $5.1 billion, and time utilization within rental revenue will be about 68% for the full year. That's up 50 basis points compared to last year. Adjusted EBITDA for the full year will be between $2.250 billion and $2.350 billion. And we continue to expect, as Mike said, to spend $1.5 billion gross rental CapEx, which will net down to about $1,050,000,000 after the impact of used sales proceeds. Finally, free cash flow will continue to be robust. We had a good free cash result in the first quarter, $234 million, and it puts us well on the path to deliver the $400 million to $500 million of free cash flow that we expect for the full year this year. And I might emphasize it continues us on the path to deliver the kind of free cash flow over the next several years that we've talked about, most specifically back in our Investor Day in December. Over the next few years, we expect to deliver almost $2 billion of free cash flow, and we feel that, that will be a very, very robust cash flow environment for the company even while we're continuing to grow the fleet, continuing to grow top line and continuing to deliver the kind of profitability and margin and return that we're targeting to deliver. So with that, I'll end my comments and ask the operator to open the call up for questions and answers. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Seth Weber from RBC Capital.
Seth Weber - RBC Capital Markets, LLC, Research Division: How should we think about the mix and the ancillary revenue headwinds going forward? Should that start to abate? Or is that going to continue to be negative $10 million, $15 million a quarter going forward?
William B. Plummer: Seth, I guess, maybe what I can usefully say is a comment about the full year rather than the quarter-by-quarter. I think you remember we said back in January, that we expected the full year mix impact to be something like 1.5% on the full year. I think it's fair to say now that the mix will be a little bit more than that, more of a headwind than that during the course of the year. It'll be less than it was last year. I think it was 5.1% last year so somewhere between 5.1% and 1.5% is where we'll end up over the course of the year. And I'll leave it to your own imagination as to how you parse that out across the quarters. But that's the overall mix, by the way. That's including all of the effects. The $10 million that I gave here was just the day, week and month component of mix. And you got to make sure that you make that distinction. But overall, we think it'll be something a little bit more negative than 1.5% but less negative than 5.1%.
Seth Weber - RBC Capital Markets, LLC, Research Division: And then with the pull forward of the CapEx in the second quarter, the $600 million, how should we think about -- I assume free cash flow would be negative in the quarter. What -- can you frame the order of magnitude we should be thinking about for free cash flow use in the second quarter?
William B. Plummer: I'd rather not. We get that granular on the timing of free cash flow through the quarter. The $600 million, if we deliver that and if you assume that we have a payables, payable terms with our vendors, that they're somewhere in the 60-day area, that can give you a rough idea of the impact that we will see in the second quarter. So I'll stop there, Seth.
Seth Weber - RBC Capital Markets, LLC, Research Division: Okay. Could I ask -- slide another one in then? It sounds like you're suggesting that there could be some specialty -- you're talking about expanding your specialty footprint. I mean, is that going to be organic or do you think that'll be acquisition? And is that -- does your guidance include some acquisitions for this year in the specialty rental business?
Michael J. Kneeland: This is Mike. And that is -- it's organic. What we've got in there is baked into our plan. We are going to be opening up some locations in all 3 segments: Trench, Power, HVAC; and also in our tools, which is all organic. We haven't baked in any assumptions for acquisitions at this point.
Operator: Our next question comes from the line of Scott Schneeberger from Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: With regard to the additional sales force, could you take us a level deeper there? You mentioned unassigned accounts. Is it -- is that predominantly where it's going to be? Is there going to be some in national strategic as well and just kind of the productivity curve you expect from these salespeople being added?
Matthew J. Flannery: So this is Matt, Scott. Primarily, this will be local reps. We feel very comfortable with the output from our strategic account managers and that part of our sales team. We just want to -- and this has been built into our plan. We just want to pivot from the integration period where we were stabilizing and really focused on harmonizing contracts and all the things that went with our sales efforts last year and pivot to growth mode. There's a portion of these sales reps that's more R&D. But as we continue to grow in 2014 and beyond, we think it's appropriate to add to our sales force to help facilitate that growth.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: And then one more, if I could. On the 10 of the 14 regions that were positive, could you -- I guess, specifically on the 4 that were not in the quarter, were those Northern regions? Could you kind of address where the weakness was and what you expect from those regions and overall progression over the year?
Matthew J. Flannery: Yes, I don't want to point to a specific region. But I will say, we all know where the weather-related markets are in the Northeastern half of the continent, in the Midwest as well. So that's where our issues were. To be clear, none of the -- some of them were only down by less than half a point. But nonetheless, for transparency, they were negative. We don't expect any of those regions to not show positive year-over-year growth by the end of the year.
Operator: Our next question comes from the line of Joe Box from KeyBanc Capital Markets.
Joe Box - KeyBanc Capital Markets Inc., Research Division: So Bill, I understand why you're adding back the 3 $5 million headwinds to kind of get you to that 58% flow-through x synergy. But why wouldn't you add back the $12 million EBITDA headwind from workdays since that should theoretically reverse in 2Q?
William B. Plummer: The workday impact is in revenue as well, and so we just think it's a more fair representation the way that I described it.
Joe Box - KeyBanc Capital Markets Inc., Research Division: Okay. But we should see that somewhat reverse then in 2Q though, right?
William B. Plummer: You should. 2Q workdays are flat year-over-year, so I don't expect that there'll be much of an impact from working days certainly in the second quarter.
Joe Box - KeyBanc Capital Markets Inc., Research Division: Okay, perfect.
William B. Plummer: We don't recall what the full year comparison of workdays is. You can count your calendar as well as I can.
Joe Box - KeyBanc Capital Markets Inc., Research Division: Okay. And just to follow-up on Seth's specialty question, can you guys give us a sense of what the breakout would be by volume of equipment on rent versus pricing so we can essentially see the difference between specialty and the general rents business?
William B. Plummer: So -- go ahead, Mike.
Michael J. Kneeland: Go ahead, Bill.
William B. Plummer: No, I was just going to ask for clarification. You're asking for a breakout by specialty versus gen rent of volume rate?
Joe Box - KeyBanc Capital Markets Inc., Research Division: Correct. Yes, exactly.
William B. Plummer: Yes, that's not something that we've done historically, Joe, so let's not break new precedents right now. We'll give some thought about whether we should say more about that as the specialty business grows in scale.
Joe Box - KeyBanc Capital Markets Inc., Research Division: That's fair. Maybe let me ask it this way then. Can you give us a sense of how much of the growth that you're seeing within specialty as a function of you pulling out the re-rent from RSC?
William B. Plummer: It's a nontrivial contributor to growth. But we are also very, very keenly focused on growing just in and of itself. So we've had close starts that we've opened that really weren't driven by displacing re-rents. We have had investment in the fleet that's above and beyond what was needed to displace re-rents in a very significant way. So I don't know what the percentage mix would be, but I would say most of the growth is coming from our focus on driving the business more so than displacing re-rents.
Michael J. Kneeland: Yes, Joe, this is Mike. I would say that's exactly right. I mean, we went to the harmonization of contracts. And keep in mind, with RSC, it wasn't something they promoted because they didn't have it. We do. We're cross-selling it, and we are pursuing it across a broader footprint. For an example, like the tools that they -- that RSC had, we're now replicating that across our broad footprint, and we've seen significant growth. And we're going to continue to support that growth as we go forward. So to me, it was the best of both worlds and where we can capture a lot of the synergies down the road. And again, it's profitable and it's part of our strategy to help untangle our customers.
Operator: Our next question comes from the line of Ted Grace from Susquehanna.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: So the first thing I was hoping to circle back on was the commentary around the key accounts and the unsigned accounts, and you've consistently laid out on in the slide deck kind of what those numbers look like on a relative basis. The unassigned accounts certainly have been growing at a substantially slower than the key accounts. And I think we all understand that the focus has been on more profitable business, higher skew towards industrial. But I think we've also seen kind of across the competitive landscape relative growth rates among all the competitors. Do you think part of the reason -- do you think that the unsigned accounts are on an underlying basis growing at a faster rate than the key accounts?
Michael J. Kneeland: I would say that is growing. Certainly, it's growing on a year-over-year basis. As you know that the residential market is starting to heal. That's going to add to the to that mix and something we don't participate in. But inside of that, what we're trying to articulate is that the localized customers takes a lot more touches. And we -- and it's feeder based. There are very attractive customers inside of that group that we'd like to hold on to. And as we went through the integration, we wanted to make sure that we stabilized and captured our most profitable customers and get everyone on the same page. And as Matt stated earlier, we're now pivoting and going after what we believe inside of that group is profitable. And typically, small-end projects are going to ramp up quicker, and you're going to see higher results sooner. It takes a while to plan for a convention center or a sports stadium or a hotel or a power plant. It doesn't happen overnight. Whereas if you want to do spot remodeling or do some landscaping, that's real time and doesn't take a lot of effort to get that up and running. So some of it may be phased in over time. But we think our end market, given what we're seeing in the ABI Index, is going to provide very nice growth in the future.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Okay, that's helpful. The second thing I just wanted to get a little more clarity on, on the synergy side of things, could you walk through what portion would be attributable to cost of rent, what might be other aspects of COGS that are non-rental related and what was SG&A?
William B. Plummer: Sure thing, Ted. If you take the $53 million, $24 million of that was cost of rent saves and the remainder $29 million was SG&A saves.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: It was. And so I guess what I'm trying to square up is, if I were to say the underlying SG&A rate was, I think, 160 reported, plus 29. You get to 189. Can you just bridge this year-on-year, where those incremental costs came from on a pro forma basis?
William B. Plummer: So, Ted, I don't have the detail and you don't have the patience for me to go through every department line. But we do break down our synergies by functional department at corporate and by the SG&A roles in the field. And it's really too much detail to go through. And quite honestly, I don't know that it adds a lot of value for discussion. If there are specific areas that you're interested in, I guess we can talk about them broadly. But we don't have a sort of a useful digestible summary to talk about right here and now.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Okay. I can take it offline.
William B. Plummer: Yes, that's probably best.
Operator: Our next question comes from the line of Manish Somaiya from Citi.
Manish A. Somaiya - Citigroup Inc, Research Division: It's Manish Somaiya from Citi. A couple of questions. One is on market share. We have had a couple of regional issuers come to the high-yield market, and they've all kind of said that they've gained customers from your transition. And I just wanted to kind of get your thoughts, was this clever pruning on your part or is there something more?
Michael J. Kneeland: Well, I think that there was some pruning on our part. Clearly, as we went through and consolidated our locations, there was a component of walk-in business that we knew we weren't going to retain. So that's something that we willing to sacrifice as we went forward. As you know, part of our strategy is that longer-term customer to benefit from our broad footprint and more of the regional and national account. 11.5% growth in the key account, I would tell you we think that we're outperforming the market. So could they in certain markets? Yes, absolutely. At the results of our closures, that could be had. There again, on rental rates, we want to make sure that we're getting the right return for our business. And that's an area that -- everyone's raising their rates. But we believe our rates, according to the Rouse data, is primarily one of the highest, if not the highest, according to their market survey. So in those areas, yes, you're going to expect some leakage.
Manish A. Somaiya - Citigroup Inc, Research Division: All right. And then just clearly, I mean, the transaction with RSC was a game changer. We're seeing all the synergies flow-through. But can you just help us understand the synergies that someone like a URI would have acquiring a small regional player?
Michael J. Kneeland: Again, I go back to my fundamentals of why you would do an acquisition. One would be, strategically, does it make sense? So strategically, is it in a market we don't serve? Is it a product we don't serve? Do they have a heavier component and, say, earthmoving than we don't have today? Is it something more industrial? Is it more related to the power HVAC tools or the trench business, so that we can broaden our footprint quicker and get a higher return? That would be one. So strategically, that -- it has to fit that bucket. The other bucket would be is, economically, does it make sense? Is there enough synergies? Can we buy it in a point where it makes sense to our shareholders? And then the last one is going to be culture. There are companies that answer the first 2 but the cultures are so different. It's very hard to blend cultures that are miles apart, and it's fraught with risk. So we tend to look at all 3 of those as we think about acquisitions.
Manish A. Somaiya - Citigroup Inc, Research Division: And then just finally, clearly, there's some long runway on the domestic front for you. How do you think about potentially analyzing entering certain international markets?
Michael J. Kneeland: I always get that question, and I answer it by saying that North America's still the largest market. We're still in the teens when it comes to market share. We still have ways to go to fully integrate the acquisition. And as I mentioned, there are segments like the power HVAC tools and trench that we can integrate with our current customer portfolio. That being said, we do have customers who have been knocking on our door, asking us to go because of our value proposition. When we think that we've exhausted our opportunities here and our customers, the valuation to our customers is so great. I think that we'll have to look at it. But right here and now, North America's still the largest opportunity.
Operator: Our next question comes from the line of Nick Coppola from Thompson Research Group.
Nicholas A. Coppola - Thompson Research Group, LLC: Have you seen any disparity in rental revenue performance between industrial and construction end markets in the quarter?
Michael J. Kneeland: Well, Matt can talk specifically. But typically, the industrial is a -- has -- there's 2 ways of looking at it. There's shutdowns, which are planned, and then there's new construction. We do know there's a lot of new construction that is planned. We're seeing an insurgence of chemical companies. We're seeing automotive expansion not only in the big 3, but also in foreign investment. We're seeing expansion in other areas. It takes time to get them up and running. It's good -- we're happy to say that the book of business that we see is relatively strong in that segment, but there is a phase-in effect. The way I look at it is you see residential grow. You're going to see smaller construction grow. And then you start seeing commercial, which requires engineering and drawings and a process for bidding, grow. And then you see the industrial grow as well.
Nicholas A. Coppola - Thompson Research Group, LLC: Okay, that's helpful. And then, I guess, question on the cost side. I guess, one more focus on reducing OEC not available this year than in the past. And then, I guess, the second part of that, what kind of benefits do you expect to see from the greater focus?
Michael J. Kneeland: Well, I will tell you that one of the things that we learn in the best-in-class with RSC was they were very good at not available for rent. They did a system called Spin. We have workbench. We're a combination of 2. We're rolling that out. What does it benefit or how does it benefit us with $7.2 billion of fleet? If we can take that down and get 2 points of fleet that's available for rent and put it out on rent, that's a sizable amount of cash. And so it helps our returns. And so again, it's part of that best-in-class practice that we learned. We're implementing it, and we're rolling it out throughout the organization.
Matthew J. Flannery: Yes, I agree with Mike. It also gives us an opportunity to maybe push limits of our peak time utilization during peak periods. Because if we're able to turn fleet quicker, we can say yes to more customers.
Operator: Our next question comes from the line of George Tong from Piper Jaffray.
George K. Tong - Piper Jaffray Companies, Research Division: I wanted to follow up on the earlier question on mix. Could you give us additional details on what specific items will help reduce the negative mix impact on rental revenues in 2013 versus 2012?
William B. Plummer: So we touched a little bit on re-rent and ancillary, and the year-over-year comparisons in re-rent and ancillary could be a little bit of a help as we go through the year. Re-rent, right, once we close the deal in the early part of the second quarter last year is when we started that effort to displace re-rents. And so that effect was starting to play out in the second, third, fourth quarter last year. And so when compared to that, this year, it may not be as much of a drag as it was in the first quarter. I think as we come into the seasonally more active time of the year, the impact of some of the day, week and month mix or the shift to monthly on a year-over-year basis might go down as you have a little bit more of the seasonal work that starts to pop up. So that could be a positive. What else? Anything else, Matt, that you can think of that we can throw out there?
Matthew J. Flannery: No, I think you covered it.
William B. Plummer: Yes. So I mean, I think it's items like that we look at and we say, "Okay, a lot of headwind in the first quarter." But as we see the quarters play out, that will reduce as we go through the year.
George K. Tong - Piper Jaffray Companies, Research Division: Got it. That's helpful. And as you're adding to the sales force, how should we think about the impact to margin growth?
Matthew J. Flannery: So as far as from a cost prospective, that employee base is 80%, plus variable, so -- and we have it built into our plan. I think we had 130 additional reps built into our plan, and we may peak out at 150. So that variance of 20 reps is not going to be material. And as far as revenue, we're really expecting to hope to see that in the back half the year and more importantly, in 2014 and beyond. Part of adding these new reps is an R&D project. We went to home-grow a lot of these reps. And we think that by bringing in new talent not just to the company, but to the industry, we could really get some long-term positive effects from that.
George K. Tong - Piper Jaffray Companies, Research Division: Got it. And then lastly, could tell us what your progress is in achieving revenue synergies this year and where the opportunity is coming from?
Michael J. Kneeland: So George, we haven't published a number. But as we think about the revenue synergies drivers, we've made some good progress in areas like displacing re-rents. That's been an important revenue synergy driver, and we do track it. We've made some important progress in the harmonization of contracts between the legacy RSC contracts and the legacy United Rentals, where that work is essentially done. A few lingering contracts are out there yet to be finalized but essentially done. And we can track the changes in rate and other terms from the old contracts to the new and identify revenue synergies from those changes. And there are several others that we track. The challenge we have in putting a number out there is that the revenue dis-synergies that occur are hard to quantify. Really hard to say what did I lose as a result of the integration of our 2 companies. So one concrete example is we closed a lot of branches as part of the consolidation work. Exactly how much walk-in business did I lose that hasn't come back yet? That's very hard to put a number on. And so we're spending a lot of time thinking about how we should think about that dis-synergy offset to the revenue synergies that are reasonably straightforward to calculate before we start talking about a concrete number.
Operator: Our next question comes from the line of Ross Gilardi from Bank of America.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: Just wondering, just broadly, I mean, do you think there's a lot of pent-up demand in the second quarter based on the weather impact from the first quarter?
Matthew J. Flannery: I think that the demand that we're seeing early here in the second quarter, I would characterize as strong. I would feel that we've had a great first 2 weeks to the quarter, right on plan. But this is the normal seasonal build that we expect in the strong environment, and I do feel we're in that strong environment. I wouldn't really call it pent-up. I think the major projects that would create that demand, as Mike had stated earlier, really need a lot more planning than to get too far thrown off tilt by 2 or 3 weeks of bad weather. We -- I hope to see that maybe in that unassigned, and that's why we want to make sure we're touching those customers, more of the small projects that we didn't see kick off in Q1. It'd be nice to see that pick up and that would be a surprise. But other than that, I wouldn't see a pent-up demand effect.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: And then just on rental, clearly, it's been a bright spot in the broader machinery industry overall. I mean, imagine there've got to be other folks that are clawing to squeeze a little bit more into rental business. Now are you seeing any signs of increased competition? And what are your expectations on the size of the fleet and just overall fleet growth in any of your key categories in 2013?
Matthew J. Flannery: So as we depicted about our $1.5 billion gross capital spend and what does that add, almost $500 million to our fleet, we feel that, that's a consistent growth pattern for us over the next couple of years. We're not seeing anybody work above that pattern that concerns us, specifically in the local markets. We're seeing some fleet replacement, which is great to see. A lot of people have been conserving capital over the last couple of years. But we're not seeing any ultra-aggressive growth in any of our individual markets that shows new players coming in.
Michael J. Kneeland: Yes, the only thing I would say is where we're spending capital, as you can imagine, is in the power HVAC and in the tools section and also trench as we continue to feed the growth that we're seeing in those markets. But beyond that, I think it's going to be pretty much the same of what you've seen in the past.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: Okay. And then just on power and HVAC. Can you just talk a little bit more about specifically what have been the drivers more recently in the growth you're seeing? And where is rental penetration now for things like small generators relative your overall business?
Michael J. Kneeland: Well, the power HVAC is different than the small generators. It's really a larger-sized generator. It's more of a system than just a generator. So what's driving it for us is we said the harmonization that we have with the contracts that opens the doors where typically the requirements were met by third party. But also, we can now pursue that, and we can pursue it with confidence that we can get more of that business. And in fact, we are. So we're continuing to do that greenfield starts by expanding our portfolio so that we can serve those customers is another avenue. On the tools side, it's really -- it's a whole new system of rolling it out. United Rentals is very good in larger construction projects, whereas RSC was very good in the industrial side. So taking that tool opportunity and deploying that into some of our larger customers. And it's a benefit for them. We're solving it. It's a solution to a problem. It's efficient. We're in, we're out, and we can track everything. So those -- the growth on that is really opening the eyes and cross-selling across our portfolio of customers and our geographic footprint.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: Just lastly, on the balance sheet, I mean, it seems pretty clear you're focused on generating a lot of cash this year and deleveraging the balance sheet. Is there a number in terms of a debt to EBITDA where you would realistically have to get to before you would consider another medium to sizable acquisition?
William B. Plummer: Ross, we don't think about it as a target that we would hit before we do an acquisition. I think Mike articulated how we think about the acquisitions earlier. If we line up those 3 criteria, strategy, economic attractiveness and sort of culture integration risk, and we can rationalize that we're not putting ourselves in a significantly disadvantageous leverage position, we won't shy away from doing acquisitions that make sense. That said, the hurdle is pretty high. And we think we've been pretty disciplined about when we do, do acquisitions in the past, and we'll continue to be disciplined going forward. So I don't know that there is a litmus test of leverage that would say, yes or no, we'll do an acquisition. It just depends on what the opportunity is that's in front of us. That said, we do have an overall strategy on the balance sheet in terms of leverage of being between 2.5x and 3.5x debt to EBITDA. We'll be at 3x by the end of this year, and that gives us plenty of room to do acquisitions and still be true to that approach to the balance sheet.
Operator: Our next question comes from the line of Jerry Revich from Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Michael, can you talk about whether you're seeing greater pricing momentum in your monthly book of business or on the shorter term side? Obviously, the shorter term business led the rental rate recovery, and I'm wondering if you're now seeing the monthly momentum accelerating faster than the shorter term rates.
Michael J. Kneeland: As far as -- it's harder to quantify that, number one. Number two, I would just say that the monthly rates take time because we have contracts that are outstanding. And as they come off rent, you can re-class them and come out with a higher rate. It's safe to say that our monthly rates continue to improve as we would expect. And as Bill mentioned, to the harmonization was also an uplift that we've seen. We continue -- the day and week, the day is more spot and weekly is less so between the 2. We have the system in place that monitors it, and it enables us to manage it very efficiently. And so I don't know if there's -- if I perfectly answered your question. But the monthly continues to improve.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Okay. And just to flesh out the cost synergy discussion a bit more, Bill, if you don't mind. Did the pace of SG&A savings really accelerate this quarter? I guess, I was under the impression that early on, you got the cost of rent savings really quickly. And I'm wondering, did the SG&A accelerate this quarter because that $29 million is pretty significant here?
William B. Plummer: Yes, I'd say most of the SG&A saves happened early on. Right? Most of them came in the form of headcount actions and other actions that you can just do and be done with, and so I would say they did not accelerate. The one SG&A item that maybe got a little better this quarter is the impact on our bad debt expense. But the other SG&A items, I don't think you could say accelerated in any significant way during the quarter. It's the operating, the expense saves, the cost of rent saves that will build -- will continue to build to take us up to the fully developed impact that we talked about, $230 million to $250 million annualized. So that's the way I'd think about it. But in terms of the first quarter, SG&A, they built but it wasn't a major ramp-up, if I remember the numbers correctly.
Jerry Revich - Goldman Sachs Group Inc., Research Division: And lastly, Bill, on Slide 11, when you talked about SG&A, is that a combination of the corporate overhead and other efficiency bucket? Can you just define that for us?
William B. Plummer: It's the corporate overhead, it's the field overhead, those areas combine. The other efficiencies are primarily operating and procurement saves. So in that breakdown that we gave you, the SG&A stuff is those 2 overhead slices.
Operator: Thank you. Due to time constraints, this does conclude the question-and-answer session of today's program. I'd like to hand the program back to management for any further remarks.
Michael J. Kneeland: Thanks, operator. And I want to thank everyone for joining us today. Please be sure to go on to our website and download the latest presentation. There are a few extra slides in there that I think you'll find useful. And as always, please feel free to call us in Greenwich if you want to discuss anything more in detail or if you'd like to take a branch tour at one of our locations throughout North America. Again, thank you, and look forward to our next call.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.